Operator: Good day, everyone. Welcome to the NBT Bancorp Second Quarter 2021 Financial Results Conference Call. This call is being recorded and has been made accessible to the public in accordance with the SEC’s Regulation FD. Corresponding presentation slides can be found on the company’s website at nbtbancorp.com. Before the call begins, NBT’s management would like to remind listeners that is noted on Slide 2, today’s presentation may contain forward-looking statements as defined by the Securities and Exchange Commission. Actual results may differ materially from those projected. In addition, certain non-GAAP measures will be discussed. Reconciliations for these numbers are contained within the appendix of today’s presentation. [Operator Instructions] As a reminder, this call is being recorded. I would now like to turn the conference over to NBT Bancorp President and CEO, John H. Watt Jr. for his opening remarks. Mr. Watt, please begin.
John Watt: Good morning and thank you for joining us today for NBT’s earnings call covering our second quarter 2021 results. Here with me today are NBT’s Chief Financial Officer, Scott Kingsley; our Chief Accounting Officer, Annette Burns; and our Treasurer, Joe Ondesko. I’d like to first welcome Scott as he joins me in hosting the first of what will be many NBT earnings calls. And as you all know, he is a proven and successful leader in the small and midsized bank space. And based on the reception to our announcement that he is joining our team earlier this month, he needs no further introduction. Many thanks to Annette for serving in the role of Interim Chief Financial Officer, her consistent leadership and depth of experience will support a seamless transition for Scott. Across the markets we serve, we are seeing building momentum and strengthening local economies. Our team is driving loan growth. And although there is volatility in the churn, the commercial pipeline is strong, with commercial loans growing at an annualized rate of 4%. Several of our consumer pipelines are also strong, including mortgage and solar, and we expect to benefit from pent-up demand over the balance of the year. In our wealth business, AUM and AUA ended the quarter at a record level of $9.8 billion, driving higher fee-based revenue. Our capital continues to build with tangible book value up 4% for the quarter and up 10% from the prior year. Our strong capital base allows for optionality to fund dividends, further our organic growth in New England and to engage in other strategic activities. And on the subject of capital allocation, our Board of Directors voted to approve an increase in the quarterly dividend to $0.28 per share in support of our commitment to enhancing long-term shareholder value. Since our last call, we welcomed Dave Brown, President and CEO of the Capital District YMCA as our newest director. We look forward to having Dave add his perspective to the discussions at our board table. As we start to put time and distance between the worst of the pandemic and our return to the office, I want to extend thanks to the entire NBT team for their unwavering commitment and many sacrifices throughout the crisis that impacted every aspect of their life. The team has pivoted quickly from supporting our customers and communities through the worst of this period to full-on execution of our strategic growth plans in the second half of 2021. To talk in greater detail about our second quarter financial performance, I will turn the call over to Scott. Following his remarks, we will take your questions. Scott, it’s all yours.
Scott Kingsley: Thank you, John. I am feeling great, happy to be joining the fray and very pleased to be part of the team at NBT. Turning to Slide 4, our second quarter earnings per share were $0.92. These results were driven by favorable credit results and strong fee income. We had a negative provision of $5.2 million. Charge-offs remained very low at 7 basis points. Our reserve coverage decreased slightly to 1.38%, excluding PPP loans from 1.48% at the end of the first quarter. Outside of credit, we continue to be pleased with our underlying operating performance. Pre-provision net revenue was up 3% as compared to the first quarter of 2021. Slide 5 shows trends in outstanding loans. On a core basis, excluding PPP, loans were up approximately $61 million for the quarter. As John suggested earlier, commercial activity has steadily improved and we continue to have good momentum in several of our businesses. Line utilization remains a headwind, but new originations have been fairly brisk. As a reminder, we have additional information on PPP lending on Slide 13 in the appendix of today’s presentation. Our total PPP balances are currently at $360 million. With forgiveness well underway for the 2020 vintage loans, we have recognized $19.1 million in fees associated with PPP lending and we have $12.6 million in unamortized fees remaining. We expect the bulk of these to be recognized in the second half of this year. Moving to Slide 6, deposits were down $31 million for the quarter, as seasonally expected, with our demand deposits up $87 million. Customer balances remain elevated from liquidity associated with various government support programs. Next, on Slide 7, you will see the detailed changes in our net interest income and margin. As we suggested last quarter, net interest income dollars remained consistent as compared to the first quarter. The NIM was down 17 basis points, with compression in asset yields partially offset by lower funding costs. Excess liquidity, net of PPP activity, continued to be a drag on our margin, but we again remind ourselves that low cost core funding should always be viewed as a long-term value driver. Looking forward, as assets continue to re-price in a low rate environment, we would expect to continue to see some additional core margin pressure. As such, as we deploy liquidity into more productive earning assets over the next several quarters, we would generally expect continued stability in net interest income results. Slide 8 shows trends in non-interest income. Excluding securities gains and losses, our fee income was up linked quarter at $39 million. More broadly, non-spread revenue was 33% of our total revenue, which remains a key strength for NBT and we like each of the non-banking businesses we are in and continue to believe that they are all investable. Retail banking fees were up linked quarter due mostly to higher card-related activities. Wealth had another strong quarter on new business wins and market appreciation. Insurance services and retirement plan administration fees were consistent and additive to our mix. Turning to the non-interest expense slide, Page 9, our total operating expenses were $71 million for the quarter and we continue to demonstrate effective cost awareness. We did incur $1.9 million or $0.03 a share of non-recurring costs in the quarter, including an estimated legal settlement. We would expect core operating expense to drift modestly upward over the course of the year, especially as our footprint continues to reopen more fully and the operating environment normalizes. On Slide 10, we provide an overview of key asset quality metrics. Excluding the impact of PPP, net charge-offs remained lower than historical norms at 7 basis points. Both NPLs and NPAs declined this quarter. We are continuing to benefit from our conservative underwriting and thus far, observed credit metrics have been much better than what would have been suggested by the CECL models this time last year. On Slide 11, we provide a walk forward of our reserve. Clearly, the economic outlook continues to improve, but uncertainty remains elevated. Excluding PPP, our allowance to loans ratio was 138 basis points, an appropriately conservative estimate of the credit risk in our portfolio today. We continue to believe that the path of charge-off activity will return to more historical norms and along with expected balance sheet growth will likely be the drivers of future provisioning needs. As I wrap up prepared remarks, some closing thoughts, we started 2021 on strong footing and we are pleased with the fundamental results of the first half of the year. Stable net interest income, good results from our recurring fee income line and sustained expense discipline are the clear highlights. Moreover, our credit quality metrics continue to exceed expectations. With that, we are happy to answer any questions you may have at this time.
Operator: [Operator Instructions] Our first question comes from Alex Twerdahl with Piper Sandler. Your line is open.
Alex Twerdahl: Hi, good morning guys.
John Watt: Good morning Alex.
Alex Twerdahl: Welcome, Scott. First question actually is for John. I think if you backed up a couple of quarters, as we kind of stared down Durbin, there would have been maybe some pressure on you guys to kind of do something a little bit more strategic to kind of overcome the Durbin impact or the revenue loss. However, kind of as we sit today, certainly, the entire industry is going to be facing pressure on 2022, just given all the sort of non-repeatable revenue items from 2021. Does that potential pullback in EPS for 2022 – for the industry, does that take pressure off of the need to do something strategic to kind of fill in the Durbin impact or does it add additional pressure?
John Watt: So thanks for that question, Alex. And the long-term strategy here remains the same. And the answer to your question is much the same as I gave at the end of Q1, which is obviously we recognize that there is a need to mitigate over a reasonable period of time the loss of Durbin in July 2022. But this company is not going to engage in financial engineering and do a transaction that is not otherwise going to support its strategic growth plans in New England or in its core regions. With that said, I think you asked in the last Q, what was the level of dialogue and conversation around strategic activities. And as we exit the worst part of the pandemic, like many other companies, that level of conversation has risen and we will see where it takes us. We are very aware that 2022 is going to have all kinds of pressures that you identified. But we run this company for the long-term, and we will get ourselves through 2022 and into a better environment. And if we do it with a strategic action between now and July, that’s great. But only if it fits our long-term growth plans and is easily integratable and culturally aligned and geographically contiguous from a whole bank perspective. From a line of business, fee-based M&A perspective, sure, we are always looking to add to the platform on the retirement services side, on the wealth side. It’s frothy in the insurance world right now, private equity driving up valuations. But if we are able to find an appropriately valued potential partner there, we will consider allocation of capital to one of those deals as well. So, as I said in my comments, we have lots of optionality given this capital base, liquidity, low credit challenges. And with that optionality, we will find the right thing to do.
Alex Twerdahl: Great. And then switching over to the reserve, if I remember correctly, your CECL day one reserve was around, I think, 106. Correct me if I am wrong. You are sitting today at kind of 131 charge-offs, actually have been a lot better over the last couple of quarters and even your historic charge-off run rate. Just kind of curious, how quickly – if you see that sort of 106 as the endpoint for the reserve, how quickly you get there or if actually, based on what you are seeing today, the reserve actually should head lower than that?
John Watt: Great question, Alex. And I think generally, the consensus is that it starts to go back towards that day one base over time. But I don’t think we are looking at that as being a sprint that will be a measured return back to that just given some of the uncertainties that still are out there from a market standpoint. And again, from an underlying standpoint, better improved results from a net charge-off standpoint as well as improvements in each of these economic factors, kind of lead you down to that over time. But I wouldn’t expect you would get back to those in just the next couple of quarters.
Alex Twerdahl: Okay. And then last question for me, the legal settlement reserve that you guys set aside. Is that related to your indirect auto business?
John Watt: No.
Alex Twerdahl: Okay, that’s it for me. Thanks for taking my questions.
John Watt: Thank you Alex.
Operator: Our next question comes from Matthew Breese with Stephens Inc. Your line is open.
Matthew Breese: Good morning.
John Watt: Good morning. How are you Matt?
Matthew Breese: I am doing great. Glad to hear from you both. A couple of questions for me. So first, really nice to see continued core loan growth and certainly feels like there is increased optimism on that front. Can you just give us a sense for where the commercial and consumer loan pipelines kind of stand today? And maybe some – perhaps some anecdotes, either what’s working? Is it a certain geography or business line or where are things most active?
John Watt: Happy to do that. First of all, let me talk about the commercial pipeline. In the category of – in the process and negotiation and approval categories five and six, if you are a sales force user, we have about $250 million, which is about 50% higher than where we were last year. When you put on top of that proposals under development and loans that we have bid on, there is another $330 million. That’s up 130% from the prior year as well. We see it across the platform. The originations in the last quarter, it was just shy of 30% in New England, and the balance was here in our core regions. We see it in not only CRE, but in C&I. We see a really relatively robust pipeline in our Hartford and Central Connecticut market, and that’s a function of the great bankers that we are able to recruit to our team, and it’s a function of all of the disruption that’s going on, as we have discussed in the past. We expect more traction out of that effort that we have underway to identify opportunities that are the result of that disruption. So, we feel pretty good about that. We see churn in the portfolio. Clearly, in this rate environment, people are still considering refinancing down and – for a good customer, we will do the right thing and retain. But sometimes we see competitors doing long-term on balance sheet offers that we are not going to match unfortunate, but we see that. When we go up against government agencies who offer products and services that would make your head spin in terms of their terms and conditions in the tenor and pricing, and we let those go as well. But with that said, the team is really focused in each one of our regions. We are actively out there going head-to-head. And clearly, pricing is the challenge with all of our competitors sitting on excess liquidity, like we are. But the quality of what we have to offer, the speed to market, the ability to turn around and get to the closing table quickly helps differentiate us against some of the smaller competitors. Obviously, our balance sheet allows us to do more and be more flexible. And in those markets we serve that has also allowed us to be successful. So, I hope that’s responsive. It’s kind of a high fly over commercial, in particular. Now, mortgage pipeline is still strong. In our indirect – I am sorry, in our specialty lending business, the demand for residential solar is still very strong and growing. So, we feel good about that as well.
Matthew Breese: Great. And then you mentioned competitive conditions. Could you give us some insight into what new loan yields are coming on the books today versus what’s existing? And then just as a follow-up, maybe give us some color on the core margin outlook? Obviously, there is a lot of liquidity and the core NII outlook because it feels like, at least in the immediate term those two items could be on diverging paths.
Scott Kingsley: Let me take a shot at that, Matt, see if I can give you enough to kind of work with. In the quarter, new commercial originations were very, very close to where the portfolio actually sits from a yield standpoint within 10 or 12 basis points, generally speaking. I’m not sure that necessarily is a trend because, as you know, sometimes commercial activity tends to be episodic. So we feel good about the fact that during the quarter, we actually originated the bulk of our originations slightly above the blended yield of the combined CRE and C&I portfolio. We feel okay about that. I don’t think that that’s necessarily a sign that times are out there where spread widening is underway. But we will probably actually take stability in that line at the current time and think that’s pretty good. Indirect auto for the quarter, the originations were in the 335 range. The blended portfolio is a little bit over 4. So yes, some compression still happening there. And we’re not going to chase longer terms. That seems to be what’s happening with robust used car valuations. I think we’re finding a lot of our dealers are sitting across from customers and terms are into the 70 and 80-month levels. That’s not our sweet spot. And quite frankly, if that’s the case, net of dealer compensation, we’re probably not winning on some of those. I think you can turn the volume on in that line of business if you want to back up a little bit relative to net yielded – or net yields, which is fine. And that’s a good asset class from a duration standpoint, but we’re big judicious on that. So you could see growth in that portfolio next quarter or you might see a retraction again. And I think either one could happen. On the resi mortgage side, rates are clearly lower than the blended yield in the portfolio today, probably more like a 290 being portfolio as opposed to a 350, 360 blend in the portfolio. Still think it’s the right thing to do given loss characteristics and just general track record relative to success on that core product. But from a general standpoint, still compression expected net of that. On the specialty lending side, Yields are pretty consistent on a blended mix standpoint, and we are very mix-dependent relative to that specialty lending side. But our rate is a little bit lower than where the blend is. Yes, they are, in terms of the portfolio mix. So I would say on a core basis, if you sort of push the PPP noise out of the way and heaven forbid, you have to push the liquidity noise out of the way a little bit, probably a good time for – just a quick reminder. The net liquidity doesn’t cost us anything from net interest income generation. It just makes the margin look a little ugly. So it’s not a net negative. But it’s an opportunity cost. We’re not likely to jump into an extended duration outcome to get $900 million deployed. It’s just not practical and it’s just not comfortable for us relative to the right asset classes. Are we completely on the sidelines? Probably not completely, but I think we’re just trying to be very practical. I mean treasury folks are really earning their money right now. If you can find good 1-year, 2-year type blended duration assets and changed the Fed funds rate from 10 or 15 basis points into something between 50 and 100, we’re probably doing some of that stuff. And it’s practical and it’s with core customers. So I would guess sort of a 3 to 5 basis point type compression risk associated with the third and the fourth quarter as we currently sit. And I think we’re generally pretty bullish that the volume generation possibilities are enough to keep net interest income kind of consistent with where we were in the second quarter.
Matthew Breese: Perfect. I appreciate that. The other one I had was, we are talking a little bit more about Fed hikes at some point here. Could you just remind us what percentage of the book is floating rate and unencumbered by floors?
Scott Kingsley: Yes. So, let’s kind of talk about that in no particular order. The C&I book is about 50% floating or adjustable in CRE. About 54% is floating, 24% is adjustable in what we would call business banking, so small business lending, a lower amount of floating, 13%; 45% adjustable. I would kind of look at indirect auto given how fast that turns and say, you get to reprice your cash flows there over about 36 to 40-month period, maybe even a little sooner given sort of the demand today. With the one caveat that dealers are still on a hard time finding used cars. There is no doubt about that. And would I say that people are financing at aggressive terms. I don’t know if I would so much just say that, but loan to values on used cars today are clearly above 100% in terms of where loans are being closed. So I think in the total portfolio, I kind of look at it this way. Maybe around 40% of the portfolio floats are adjusts with expected cash flows still pretty significant for the institution. So in the event, you actually get a rate hike, which, as you know, we’re in that long line of year leaders for that probably over longer term that I think we would have some opportunity from a repricing. None of our forecast right now indicate that we’re going to get some kind of repricing optionality before 2023. But essentially, if I’ve been prognosticating in the past, I’ve probably been wrong more than I’ve been right. So take that for what it’s worth.
Matthew Breese: Perfect. Last one for me. Just can I get an update on where you expect the tax rate to come in?
Scott Kingsley: Yes. I think that’s sort of the mid-22s, with a handful of mix changes, could you be as low as 22, could be as high as 23 given sort of the state complement of where we do business. I think you are safe in that range.
Matthew Breese: Perfect. That’s all I had. Thank you for taking my questions and Scott great to hear from you again.
John Watt: Great, Matt. Appreciate it. Thanks so much.
Operator: [Operator Instructions] Our next question comes from Erik Zwick with Boenning and Scattergood. Your line is open.
Erik Zwick: Hi, good morning everyone.
John Watt: Good morning, Erik.
Erik Zwick: Just one question remaining for me today, within the press release, you talked about the continued expansion in the New England region and the new branch in Connecticut. And John, I think, in one of your responses to the loan growth question, mentioned some opportunities to maybe capitalize on some disruption, in Connecticut as well. Just curious, as you look at the rest of your New England states and markets where you see opportunity potentially to add branches or new lenders or from that perspective?
John Watt: Great question, Erik. And recognizing the competitive dynamics, I’ll stay high level but acknowledge that we have opportunity in Vermont, we have opportunity in mid and Southern New Hampshire, we have opportunity in Western Mass and clearly in Central Connecticut. And that involves not only the recruitment of high-performing bankers, but also the conversion of customers who in evaluating what’s important to them determine that affiliating with a several hundred billion dollar bank perhaps is not in alignment with how they want to run their business. Clearly, we’ve identified in each of those markets opportunities where that might be the case. And we have the balance sheet, we have the technology and treasury management platform to serve 99% of all of those potential prospects, and we’re driving hard to position ourselves when the time is right over the next – and this is a long-term focus here over the next several years to take advantage of that disruption. And we have been successful doing it in the past. And in this case, we feel really good about where we are now. So all of those states, we have a focus. And I guess in Southern Coastal Main as well, add that to the list, there is clearly opportunity there on the fee-based side and on the loan side. And we’ve got that identified, prioritized and we’re executing there as well.
Erik Zwick: Thanks. Appreciate the detail there. That’s it for me today. Thanks for taking my question.
John Watt: Erik, good to talk to you.
Operator: I’m not showing any further questions. I will now turn the call back to John Watt for his closing remarks.
John Watt: Right. Thank you. And again, thank you all for participating in today’s call, for welcoming Scott to our team, and we look forward to catching up to you either one-on-one or in the next quarter. Be well and be safe. Thank you.
Operator: Thank you. Mr. Watt, this concludes our program. You may disconnect. Have a great day.